Jasmin Dentz: Thank you, operator. So welcome, everybody, to our Q1 Results Presentation for 2025. This call will also be webcast live on branicksgroup.com, and a replay of the call will be available on our website shortly after the end of the call. Our CEO and CFO, Sonja Warntges, will now give you an overview of our financials and our guidance. After the presentation, we will be happy to take your questions. Please note that management comments during this call will include forward-looking statements, which involve risks and uncertainties. For a discussion of risk factors, I encourage you to review the safe harbor statement contained in today's presentation. As always, all documents relating our three months reporting have been made available on our website. I now turn the call over to Sonja for her remarks. Sonja, please, the floor is yours.
Sonja Warntges: Thanks, Jasmin. So good morning, ladies and gentlemen, and also a warm welcome from my side to Branicks' Q1 2025 results conference call. I'm joined by my colleagues from the Accounting and Investor Relations department. And as usual, during our call, I will give you an overview on what has been achieved in the last quarter, and I will present our key numbers as well as our unchanged outlook for 2025 to you. This will be followed by a Q&A session. Dear all, in terms of a rough overview about what we have delivered and achieved during the first quarter 2025, I would like to highlight the topics mentioned on Slide #2. First of all, again, we achieved major milestones in terms of our financial consolidation and the reduction of our liability. Although, our promissory notes are only due this summer, we already paid back EUR 115 million. In addition to that, we paid back bank debt in the amount of approximately EUR 4 million and successfully refinanced real estate financing in the amount of approximately EUR 27 million. Our focus still remains on further reducing our liabilities with a continued concentration on our covenants as well as on our liquidity situation. With regards to our external disposals, you all know that the first quarter is traditionally a weak one. Nevertheless, we managed to sign one transaction that is expected to be closed during the first half of this year. Branicks is again an active participant in a challenging transaction market, and we stick to our EUR 600 million to EUR 800 million disposal target. Our transaction pipeline is well filled and our transaction teams are working successful in realizing the deals. Our commercial portfolio continues to be a sustainable and predictable cash flow provider. Our clear strategic focus on the two asset classes, office and logistics is once again reflected in the high percentage rate these two asset classes constitute with regards to their market value. Our portfolio continues to generate stable and predictable rents, benefiting from rent indexation. The ongoing portfolio optimization results in a like-for-like rental growth of above -- sorry, 0.1%. At the same time, we managed to increase the average rent from EUR 8.96 per square meter to EUR 10.19 per square meter. In this context, I would also like to mention that our teams continue to successfully negotiate lease agreements, like most recently, the extended lease agreement with a leading German software group for the office tower in Eschborn until 2035. Further selected letting successes were the extension of the lease for ver.di trade union training center in Saalfeld until 2032 as well as the 10-year contract with the organic food company, EgeSun in the greater Bremen area where the other tenant is Coca-Cola. This shows again that customer proximity and attractive high quality properties, particularly in terms of sustainability criteria, are still in demand even in a challenging market environment and are leading to dynamic business in both the office and logistics asset classes. With EUR 8.4 billion assets under management, the Institutional Business remains the second strong pillar of our business model, recording a slight like-for-like rental growth during the reporting period compared to prior year. Thanks to our strong and solid setup within this segment, we are ready to benefit from a market upswing, particularly with regards to increasing transaction fees. And last but not least, again, we continue to be cost sensitive and managed to generate a 12% OpEx reduction compared to last year's Q1. With regards to our financial maturities profile, we continue to pursue our deleveraging path. After already having reduced our financial liabilities in total by EUR 667 million in 2025, we achieved further milestones during the first quarter 2025. One of them with regards to our promissory notes has been paid -- that has been paid down ahead of plan by a total of EUR 150 million in Q1. And of course, we paid back the outstanding EUR 110 million end of June 2025. During the first quarter 2025, we also achieved to pay back EUR 4 million bank debt and to roll further bank financing of EUR 27 million to 2030 and later. In addition to that, we managed to convert EUR 20 million bank debt maturities from 2025 to 2030 and later. In view of our EUR 400 million green bond that is due 22nd of September, 2026, I know that most of you are eager to learn more about our plans. Please be ensured that, of course, we have this maturity in our head and exploiting different options in this regard. Nevertheless, it is too soon to talk about concrete steps, but let me underline in this context that our focus to deleverage our balance sheet, while monitoring our green bond covenants remains one of our highest priorities. With 58.2%, the bond LTV covenant still has enough headroom to the covenant level. It is expected to improve due to disposals and the redemption of the 2025 promissory notes. We are aiming to reduce our LTV further and to achieve an even bigger headroom in the midterm. With 2.1, the ICR covenant has also enough headroom to the 1.8 threshold. In terms of our average interest rate, it is important for me to underline that over the course of the quarter and due to the redemption of the bridge as well as due to additional optimization, we continuously improved this KPI during the recent quarter from 3.36% at end of March 2024 to 3.21% at the end of June '24 to 2.81% at end of September '24 to 2.67% at end of December '24 and to 2.46% now. Let's now take a deeper look in the results of our real estate platform shown on Slide #4. Our teams once again performed exceptionally well. So the like-for-like rental income rose by 0.5% for the entire portfolio under management and remains strong. The Commercial Portfolio shows a slight increase of 0.1%. Our Institutional Business, a slight plus of 0.6%. This was realized primarily through indexation. In terms of square meters, the letting performance of the Branicks platform declined in Q1 by 28% year-on-year to 78,900 square meters, mainly due to disposals. In total, assets under management with EUR 11.2 billion were slightly down compared to last year, mostly due to disposals, which became effective in the course of the year. The Commercial Portfolio saw a decrease from EUR 3.7 billion down to EUR 2.8 billion, which was a direct result of the disposal activities year-on-year. The Institutional Business was also affected by the termination of a larger property management mandate. And as of today, only 3.3% of the total annualized rental income would expire in 2025 if these contracts are not prolonged. Over 85% of the annualized rental income has a lease length until 2027 and longer. For larger expiries in 2025 and 2026, we already proactively started discussions with the tenants. On our next slide, let me highlight the development of our main income streams. The net rental income fell to EUR 35 million, primarily because we successfully sold assets last year. Income from associated companies that mainly consisted of deferred income from fund shares decreased to EUR 1.1 million. The real estate asset management fees increased from EUR 9.7 million to EUR 10.8 million, driven by stable asset and property management fees and increasing performance fees. Our income from rent and management fees on the platform with EUR 42.8 million was slightly lower year-on-year. Nevertheless, still showing a very high degree of recurring income stream. Now let's take a closer look on the development of the FFO year-on-year. It is overall in line with our expectations. The net rental income saw a decrease of EUR 6.5 million due to disposals. Management fees increased by EUR 1.1 million, driven by increased performance fees and the share of the profit from associates decreased by EUR 0.5 million. Our OpEx development again had a positive contribution to our FFO, showing results from our Performance 2024 program. The increase of our adjusted net interest result amounted to EUR 8.3 million. This is adjusted by non-recurring expenses amounting to EUR 6.6 million, mainly due to refinancing activities for our promissory notes. In total, and to sum it up, we see the FFO amounting to EUR 11.4 million after the first three months of the business year, and that is exactly in line with what we expect with regards to our full-year guidance range. In view of our expectation for current business year we stick to our guidance. We expect gross rental income in the range from EUR 125 million to EUR 135 million; real estate management fees between EUR 50 million and EUR 60 million; and then FFO I after minorities and before taxes of EUR 40 million to EUR 55 million. With regards to acquisitions, we foresee no acquisitions for our on-balance sheet activities and EUR 100 million to EUR 200 million within our [indiscernible]. Our disposal guidance lays in a range of EUR 600 million to EUR 800 million, thereof EUR 500 million to EUR 600 million in our Commercial Portfolio and EUR 100 million to EUR 200 million in our Institutional Business. Beyond our guidance for the current year, our midterm ambition remains unchanged. We strive to transform Branicks Group towards a profitable ESG focused and value-generating asset expert with sustainably strengthened cash flow and financial position. And we have a clear midterm ambition to further reduce our debt, which will go along with improving the respecting KPIs. And having said that, I would like to hand over to the moderator for your questions.
Operator: The first question is from Markus Schmitt, ODDO BHF. Please go ahead.
Markus Schmitt: Yes, good morning. Thanks for taking the questions. Just two for me, actually three, but I think you will not comment on the 2026 bond refinance, so I'll skip that. In terms of the potential asset sale you mentioned, can you indicate maybe what size that is and what's the potential discount to book value might be? And secondly, the vacancy is increasing for some time. Is this rather driven by the asset sales or is it rather organically? I mean, it would be helpful to understand the split here. Thank you very much.
Sonja Warntges: Good morning. Thanks for the question. At first, yes, we will only answer the two questions. And second, please understand that I cannot talk about ongoing deals, so I think that makes no sense. So we are still in discussions. We have a good -- yes, we are in good discussions for all what we need, so to say. And so yes, we have to wait until the signings are finished. And until that I cannot comment on that. And the second question was the vacancy rate, and I have understood this right. And there, let me highlight some points. At first, the vacancy rate increased by three major lettings, so to say. One is Halle, you know about that. This is the big retail center in Halle. The second one is the Zircon Tower in Wiesbaden and the third one is the business park in Regensburg. We have already let the Halle building, so we are working on the refurbishment there, and they will come in end of the year -- beginning of 2026. So this is already let. Then the Zircon Tower, we have done the letting with a big pharmacy company, more than the former tenant had. So we had let a little bit more of the square meters. So this is also done. They will go in, I think in the third quarter -- third or fourth quarter. And we are in the marketing and letting phase for the business park in Regensburg, so we have not already are letting there. So this is going on vacancy rate for the next month. And a split from sold assets to the -- yes, existing vacancy rate, let me look it up for a moment. So it's around about 25% from selling and 75% from the existing portfolio.
Markus Schmitt: And given that you expect some positive things to happen there and you just mentioned the letting initiatives. So where do you see prospectively then the vacancy rate over the next, let's say, six to 12 or 18 months?
Sonja Warntges: Yes, it will take us a little time. So as we said in the last call, if we take Halle, for example, into account, it is 1%, 100 points so to say, from 7.3 basis points. And the other things, I think we are stable, I think around about 7%.
Markus Schmitt: 7%, respectively. Okay. I understand. Okay, thank you very much.
Sonja Warntges: Thank you.
Operator: The next question is from Thomas Neuhold, Kepler Cheuvreux. Please go ahead.
Thomas Neuhold: Thanks a lot for the presentation and taking my questions. I have a couple of questions. Maybe we take them one by one. Firstly, on your cost-cutting progress, you performed quite well here. I was wondering if you can quantify the further potential you see here in bringing down operational costs further. That's the first question.
Sonja Warntges: Yes, good morning. Thank you for the question. So we have called it Performance 2024, but it is still ongoing in 2025, and we expect it of roundabout 5%.
Thomas Neuhold: Thanks. The next question is more of a top-down question. You finally have, now a new government in place. I was wondering if you can share a little bit of your feedback and the feedback of your clients, what they think about the planned macroeconomic policies and also the policies for the property space in Germany and what impact that could have on your business?
Sonja Warntges: Yes, that's an interesting question. So I think it will -- yes, this is only my personal idea, so to say. But I think it will have a positive effect, especially for the industries, because it is expected that there is a little bit more industry experience and a little bit more understanding what the industry needs. Nevertheless, it's not only Germany here, it's a big context in the European strategies and also the world strategies. So I think on a short-term basis, I do not see any extremely changes neither to the positive nor to the negative quarter, so to say.
Thomas Neuhold: Thank you. And my last question is on your guidance. It is currently relatively broad, this EUR 40 million to EUR 55 million of FFO and you achieved EUR 11.4 million in the first quarter. You plan more disposals. I mean, is it fair to assume that achieving the upper end might be rather difficult and you might end up probably at the lower end if you're successful with your disposals?
Sonja Warntges: No. So we thought a lot about the guidance for the FFO for this year, and we stood with the guidance we have done last year. But at the end of the day, you see that we have EUR 11.4 million in the first quarter, so we had a good quarter, and we could arrange the things we expected to be. So the management fees, as you see, increased and it is done by a very detailed look on the Institutional Business and understanding what the assets in the Institutional Business need. So therefore, we can create performance fees on lettings and refurbishments and so on. And we expect there to come more until the end of the year. You can see this in our guidance for the management fees. But nevertheless, it is expected that these actions had to be finalized and closed so that we get the money out of it. And this is the most interesting part where we do not really know when the money is paid then. And therefore, we stay for the moment with a broad range for the FFO and also for the management fees. But we expect not to be the FFO lower than our range. It's the other way around. As you see what we have got in the last year as a total and compared to Q1, we are better than last year's Q1. So we are in the right direction, but we think -- we will think about the guidance at the end of June for our next quarter call, and then we might get a smaller range in here when we see what the first half year has got.
Thomas Neuhold: Thank you very much.
Sonja Warntges: Thank you.
Operator: The next question is from Jochen Schmitt, Metzler. Please go ahead.
Jochen Schmitt: Thank you very much. Good morning. I have two questions, please. Firstly, your cash position of EUR 105 million at the end of March. How much of that is restricted? Second question on your cash flow statement. Does CapEx in Q1 relate to ongoing development projects? And how much CapEx do you expect in financial year '25? And do you have to fund that by unrestricted cash at balance sheet or maybe by credit lines arranged in the past? These are my questions. Thank you.
Sonja Warntges: Well, thank you for these questions. So the first one is easy, it's EUR 66 million restricted. The second and third questions are a little bit more complicated. So to answer the third one, we have to split the CapEx into two parts, I would like to say. The first one is the constructions we do, especially on the level of VIB. So therefore, we build new assets, so to say, new logistics and light industrial assets, and they are all arranged with a credit, with a liability. But it is not 100%, but roundabout 70% to 75% cost refinancing. And the other one -- the other big part is the normal CapEx, so to say, what is the normal -- yes, the normal work on the existing assets in the Commercial Portfolio. And these are normally not financed by credit line. So we have to use our normal cash. But at the end of the day, with a shrinking portfolio, the CapEx also shrinks. And the total number for this year, I have to look it up, one moment. We expect roundabout EUR 10 million for the portfolio for the rest of the year.
Jochen Schmitt: Sorry, and the follow-up question, if I may. And on VIB level, could you also give a CapEx figure expected for the full year?
Sonja Warntges: Excuse me, I have misunderstanding, maybe the EUR 10 million includes the total company. So the VIB and the Branicks portfolio.
Jochen Schmitt: Yes. But sorry, this is what you need to finance by cash at balance sheet, because if I'm right, you had around EUR 12 million of CapEx in Q1, if I got that correctly, from the cash flow statement.
Sonja Warntges: Yes. But this includes project development.
Jochen Schmitt: Yes. Okay. Maybe we'll follow up on that offline. Thank you very much.
Sonja Warntges: Yes. Please call us so we can discuss it separately. Thanks.
Operator: The next question is from Stefan Scharff, SRC Research. Please go ahead.
Stefan Scharff: Yes, good morning to all. My first question is, you mentioned that you are in a strong position and ready for a market upswing. Can you please say here a bit where you see the market at present with all the economic difficulties and political turmoil? And what you expect here for the coming months in terms of transaction activity, in particular, let's say for the office market?
Sonja Warntges: Yes, good morning. So as I said to the former colleague, we expect for the near term no intensive changes in the letting market and in the transaction market from the political decisions made, so to say. I think, as said, it might be a little bit better for the industries because we have a government who has a lot of experience in industry and so on. But we see also the European adverse market, and therefore, it is not so easy to say what's going on. What we see at the moment, there is no shift in letting or something like this. And what we see also is that the transaction markets are there where they are. So we see foreign investors coming to Germany, they find Germany more and more interesting from the logistics side as well as the office side. So also for office, we see some family offices coming back, not the big institutional investors. And what is happening there is that, as we say, there is a lot of value-add and -- or plus money, but not core. And they want to find the right assets and the right products, so to say. But there is not such a lot of products, so this will, yes, will come to an -- yes, how do I say this in English. They have to near it up, so to say. But at the end of the day, office is interesting for family offices for money which is counting on a long-term perspective and for the communities by itself, because they -- as you have also seen from other competitors, some towns buy old house roof buildings and so on to bring the towns in a good shape. And so there are a lot of different things. And what is our advantage is that we know a lot of the players in the transaction market, and we know them. So we are in discussions with a lot of them and know also the right ones. But to sum it up, the office market is coming back on a lower level. The logistics market is to differentiate between some industries, for example, for automotive. They look in a very detailed manner what automotive companies are in, if you want to sell a building, and the transaction market is challenged by very professional investors.
Stefan Scharff: Other question is about your like-for-like rental income. It was up 0.5% in the first quarter. That's remarkable for the economic situation, but it's a bit below the hike in like-for-like from the last quarters. What do you expect for your like-for-like rental income for the full-year? And what is your opinion about your lease expiry profile? About 30% of your leases will expire in the next three years. And do you -- are you already in negotiations with your tenants to find new good and long-term contracts with good square meter prices here or even higher square meter prices than with the old contracts?
Sonja Warntges: So a long question. I'll start with the like-for-like. So as mentioned, the most -- or the biggest results are coming from indexations. And as you know, the inflation rates are going down or went down over the last quarters. And so this is the result what we see here. We think it will be stable on this level, but we do not expect an increase here over the next quarters. That would be unreliable, so to say. So then I have to remember what the next question was.
Stefan Scharff: The lease expiries, the next year.
Sonja Warntges: Yes. So we have some bigger things. So we are still in discussion here, because the one idea is to go with the existing tenant, but the other ones and the most interesting ones are to refurbish the assets because, as I said, there is a lot of interest in value add and so on. So therefore, we are thinking about [indiscernible] or refurbishment or something like this where it is possible. And therefore, we do the one discussions with existing tenants or new tenants in the existing areas and floors. And on the other hand, we are thinking about [indiscernible] and refurbishment. So we are working on this. And as you know, this is our key competence to do such things, and I'm very confident that we manage this successfully.
Stefan Scharff: Okay. I see. One last question about your debt side. You managed some good progress by the repayment of the promissory notes. And you also stated some favorable conditions for new loans and new debt. Can you give us a bit more details here on those new conditions? And what this means for your equity stake in this condition -- in this new contracts? And what do you expect the refinancing market to develop?
Sonja Warntges: Yes. So the bank debts, we've refinanced all of them and rolled it further, so to say. The interest rates, if you talk about them, are roundabout 3.6% to 3.9%. And yes, we had to give a little bit equity to this. It's roundabout 7% to 10% in addition, so to say. It's on a very low level.
Stefan Scharff: And what's your feeling about the banking -- the policy of the banks? How do they act? Are they more restrictive in a more difficult economic situation? Or is there not too much difference compared to the last one or two years?
Sonja Warntges: Yes. No, they are looking very detailed on the assets, and especially on the plans for the next year. So on the maturity, so to say, what is happening with the asset over the last side of the maturity of the liability. But as you know, we have for each of the assets, a very deep calculation of business plan. And so therefore, we discussed this with them, but they have a good understanding of the assets on the one hand. And on the other hand, yes, they have to see that they are in a position where they can argue that they finance real estate. But at the end of the day, we have always more than one bank who will refinance or will finance the assets. So we can talk with them and find the best one for us. But they are very supportive. I do not see a change over the last month. As said, they have a deep knowledge of the assets and what we are doing here, so we discussed this with them. But at the end of the day, we deliver, as you can see, with the Halle letting contract. As you can imagine, this was part of the refinancing and therefore, they do this then.
Stefan Scharff: Thank you very much.
Sonja Warntges: Thank you.
Operator: The next question is from Philipp Kaiser of Warburg Research. Please go ahead.
Philipp Kaiser: Yes, hello everyone. Thanks for taking my questions. Just a couple from my side, starting with the real estate management fee. Just for my understanding, the EUR 1.1 million additionally achieved through the EUR 9.7 million, is this coming from transaction fees or from the newly charged service fees you announced in the full-year call?
Sonja Warntges: Yes, good morning. Thank you for the question. No, we have no transactions at the moment in the Institutional Business, because the most investors, we have a lot of them, over 170 as you know, in our more than 30 vehicles, they want to stay with the vehicles and with the assets because they have still attractive yield profiles. So there are no transactions. We have sold in the last month one small logistic asset in [indiscernible], it was very small. And to answer your question, the fees are coming from the services, as you mentioned, we are doing in the existing portfolio. And the most interesting things are the leasing fees when we do big letting, so to say. And the other one is if we do refurbishments in a smaller or bigger way and thereof -- or therefore, we get the fees, and this is the major part of the additional EUR 1.1 million. So the recurring fees are still stable. So as you said, we have not changed the vehicles and not investors. So the recurring fees are stable. And the other ones are performance fees from our new and existing services.
Philipp Kaiser: Perfect. Thanks for the clarification. And is the EUR 1.1 million still roughly the ballpark we could expect for the coming quarters or any, yes, volatility in this service fee expected?
Sonja Warntges: Yes. The service fee are more or less performance fees, so they are not coming on a month-by-month basis, but they are coming, if we have done the work or -- yes, you know what I mean. So this might change a little bit from one to the other quarter. But at the end of the day, as a run rate, you can expect it as a run rate, but we expect a little bit more to come because we have some bigger things to do here where we get naturally more out of it.
Philipp Kaiser: Okay. Perfect. Makes fully sense. Thanks for the clarification. Then a follow-up on your OpEx reduction, you achieved a 12% reduction on a year-on-year basis. As far as I remember correctly, the admin expenses in Q1 last year were impacted by a one-off. If you would adjust for that one-off, what would be the reduction then compared to the first quarter this year?
Sonja Warntges: No, in Q1 2025, we hadn't had a one-off.
Philipp Kaiser: I mean in Q1 2024.
Sonja Warntges: Yes, exactly. In 2024, we had no one-offs because the one-offs, generally speaking, are mostly coming from our refinancings, especially bridge and promissory notes and the decision and -- yes, the clarification on this was made end of March. So we hadn't one-off in the first quarter 2024.
Philipp Kaiser: Okay. Perfect. Thanks. Then I misunderstood that. Perfect. The last one is with regards to your LTV levels. You sold a bunch of assets last year. You already repaid a lot of debt, but your LTV remains on a very high level. So when we can expect that the LTV or all your measures you already did and you will do in the next couple of months will also be reflected in lower LTV levels?
Sonja Warntges: Yes, the lower LTV levels are coming from, as I said, from value and loan. And the existing LTV level on Q1 is mainly driven because we had a depreciation of one asset we had sold in Q1. We haven't sold it. But as you know, if we sign the contract, we have to build up this -- the selling price into our books. And therefore, the LTV only the V has reduced, but not the L because the L will reduce when we do the closing and the liability is paid back. And so we have this confusion, so to say, a little bit during the quarter. But at the end of the day, we will see this if we have done all our transactions, and this will count into the measure of our KPIs. And as I said, I think, expect it to be end of the year, beginning of 2026, roundabout.
Philipp Kaiser: Okay. Perfect. Thanks for the information. Very helpful. That was awesome my side. Thanks a lot. Have a great day.
Sonja Warntges: Thank you. You too.
Operator: The next question is from Manuel Martin, ODDO BHF. Please go ahead.
Manuel Martin: Thank you. Hello, Sonja. Two questions from my side, please. One is because I had some acoustical problems, on the like-for-like rental growth in the Commercial Portfolio, I understood that one driver of the 0.1% growth was indexation, but I had problems to understand the second part. And it must have been something offsetting, because the level is quite subdued with just 0.1% growth?
Sonja Warntges: Yes. What I said is that, we do not expect a big change here during the year, because as you know, the inflation rates go down or went down over the last quarters and months, and we do not expect them to go up. So therefore, the indexation is a direct output of this. And therefore, we think this number will be stable during the year, and we do not expect an increase here in the indexation.
Manuel Martin: Okay. Thanks. My second question is about the market. What is your impression when it comes to prices in the transaction market regarding office and also logistics, because I could imagine that there are some differences. And so to get a bit the feeling what do you think about property valuations during 2025, because you depreciated one asset as far as I can understand. So it's -- so maybe there is still some devaluation potential in the portfolio.
Sonja Warntges: I think we have to differentiate between evaluation and selling prices. So on the evaluation, I think the peak is done, so to say. So if you look what our competitors did and what we did. So at the end of the day, I think during the last two to three years, there was a special range, some did it in one year, some over the years. But I think we have had a peak, so to say it. Clearly, I don't expect depreciation for the existing portfolio end of the year. But it's a different thing if you look on the selling prices, so to say. So we do not sell the best assets, so to say. So we sell assets where we have a look on it and say, okay, why should we sell it and to whom can we sell it? And to say clearly, the selling prices are lower than the evaluation. I cannot say exactly how much. But at the end of the day, when we sell, for example, Preem [ph], as we have done, we have to work on Preem. We have to put money in, and this is part of the evaluation. And when we say, we sell it now and do not put money in and do the refurbishment, it is on a lower level naturally. So therefore, I cannot speak about the selling prices at the moment, but they would be lower than the evaluation. I think that's for sure. And on the other hand, I don't expect a decrease in the evaluation for the existing portfolio until end of the year, roundabout zero a little bit. But I cannot say exactly. But don't expect a big number. And the market for office, as said is coming back for special investors, so to say, especially long-term investors -- family offices and so on and foreign investors. But they are looking very deeply where the asset is and so on. And they want to invest in value-adds or core plus. So that's the part here. In logistics, they also look very deeply into what the tenants are, what the asset itself is. And this different views, you have to manage, so to say. So it's not possible to sell everything, but it's possible to sell office and logistics and light industrial on a mid-level, I would say, yes. So I think we have also seen the peak in logistics. The price will not go up anymore because of all these trade discussions and so on. When they are ended, it might be another picture. But at the moment, I think we have the prices on a stable level now.
Manuel Martin: Okay, thank you very much.
Operator: The next question is from Adam Megyeri of Bank of America. Please go ahead.
Adam Megyeri: Hey, good morning. Thanks for taking my questions. I wanted to pick up on a previous question first. You mentioned EUR 66 million of restricted cash. Could you give any more details as to what really that restriction is for and what that cash will ultimately be used for or whether it's going to be unlocked at some point?
Sonja Warntges: Yes, good morning. It's mostly coming from project development. And yes, when they are free, we can use it for -- as free liquidity for what we want, so to say.
Adam Megyeri: Understood. So it doesn't include any sort of tenant deposits or something. It's purely for development?
Sonja Warntges: Yes.
Adam Megyeri: Great, that is helpful. And then I also wanted to just check on the disposal that you agreed in March, conscious it's not the largest. But if you could share any details, that would be helpful as to what the asset was that was sold. And maybe if you can give any indication as to the sales price compared to the book value?
Sonja Warntges: Unfortunately, I cannot talk about it because we have an agreement with the seller that we only talk about this when the closing has been finished.
Adam Megyeri: Okay, fine. And then last point from my side. I just wanted to check whether any decision has been made in relation to the intercompany loan that comes due in the next couple of months. Has that been extended? Or are you still in discussion? How do you intend to tackle that?
Sonja Warntges: We are in discussions now.
Adam Megyeri: And generally speaking, on your disposal plan, I mean, conscious a lot of the assets that are being marketed are going to be sitting in the VIB pocket, right, logistics assets, et cetera, that I think have been in the news of being marketed. Do you see any risk of continued -- of getting that cash from VIB up to the Branicks level, given that's where the obligations fall due? Or do you feel you have adequate avenues in place to make sure that, that cash is transferred to where it is needed within the group?
Sonja Warntges: No, we have -- our disposal plan is some VIB assets, but also some from the Branicks portfolio. And at the end of the day, VIB decides what they want to sell and what they want to buy. And therefore, we are in discussions with them what they want to buy from the old -- this way old Branicks portfolio. But we are on the selling side for the old Branicks portfolio, and this will be a major part of the selling coming up over the next months.
Adam Megyeri: Makes sense. Thank you very much. That is it from my side.
Sonja Warntges: Thank you.
Operator: The next question is from Josef Pschorn of XAIA. Please go ahead.
Josef Pschorn: Yes, good morning. Thanks for taking my questions. So you stated that the annualized rental income is at around EUR 147 million. Do you factor in a certain rent number for the vacant properties? Or does this annualized rental income only include the rented properties?
Sonja Warntges: So we understand you strongly. But if I understood it right, I think you said whether annualized rent is only from the rented ones or all the assets?
Josef Pschorn: Yes. So you stated there is -- the annualized rental income is EUR 147 million, right? But that's only the properties which are rented out, right? You don't factor in any -- okay.
Sonja Warntges: No, no. No, no. Yes. That's only the…
Josef Pschorn: Okay.
Sonja Warntges: Yes.
Josef Pschorn: But if you calculate the market value of the portfolio, you do include the vacant properties, right?
Sonja Warntges: Yes.
Josef Pschorn: Okay. And if you then calculate the gross rental yield, you then include the vacant properties into the denominator, right?
Sonja Warntges: Yes, yes.
Josef Pschorn: Okay, okay. So the gross rental yield basically is somewhat depressed to where it could be?
Sonja Warntges: Yes, it is.
Josef Pschorn: Okay, understood. And lastly, because you did buy any bonds back in the last quarter, but you didn't buy any more this quarter?
Sonja Warntges: No, no.
Josef Pschorn: Okay. Is there an intention from your side to continue doing any more buybacks?
Sonja Warntges: So we are looking on all options, as you said, politically correct so to say. But more I cannot say at the moment for this.
Josef Pschorn: Okay. So there's, at the moment, no intention to capture any more discounts by buying back bonds?
Sonja Warntges: As said, we are looking on all options. As today, I don't have that intention.
Josef Pschorn: Okay, perfect. That is it for my side. Thank you very much.
Sonja Warntges: Thank you.
Operator: The next question is from [indiscernible] HSBC. Please go ahead.
Unidentified Analyst: Good morning. Thank you very much for the presentation. And actually, you answered most of my questions. So I'll just ask the remaining ones. Just coming back to the topic of disposals, could you please provide more color on the quality of the sold and remaining assets in terms of revenues and profits that they generate in terms of vacancy rates, in terms of rent? That's the first question.
Sonja Warntges: You mean the sold one in the past or what do you mean?
Unidentified Analyst: Yes, like what has been sold already and what is still in the company on the books?
Sonja Warntges: Yes. In this year, we had only sold one, as I said, or I cannot really understand at the moment.
Unidentified Analyst: So basically, I'm asking are you selling…
Sonja Warntges: Yes. So from the rent, so to say, from the GRI, we have EUR 8.2 million less than in the last year from the sales of 2024.
Unidentified Analyst: Okay. But like just to compare the quality, are selling more quality assets? Or just like what you are selling, what you are keeping in terms of the revenue that?
Sonja Warntges: It's a mix, yes, so to say. So we have sold assets, which is better than another one. But at the end of the day, it's a mix. Yes. So it was a lot of assets. So therefore, it's naturally a mix of all of them from the asset class, from vacancy rate and from the rents.
Unidentified Analyst: Okay. And I see that the plan is to sell from EUR 600 million to EUR 800 million this year, and you are very much on track on it? Are you planning to continue disposals after 2025?
Sonja Warntges: No, I think as I said to the former speaker, we are always discussing options, what we can do and what we are doing at the end of the day. But as you can imagine, at one point in time, we think about other options than selling assets. But for this year, we have the concrete plan, what we are doing, and this is put in our guidance, and we are in a good way or on a good way to do this. And yes, most of them over the next month. And then we -- when we have paid back the liabilities, we are planning what we do next, and we are still in discussions about these things, but not so concrete that I can talk about it today.
Unidentified Analyst: Okay. Yes, I mean obviously, you cannot talk about concrete strategy, et cetera. But could you please elaborate a bit more on your top option that you are considering? Obviously, I'm not asking about your exact strategy, but like what are your top options and tools to deal with the upcoming maturities?
Sonja Warntges: Yes. Yes, a natural one, yes, selling, refinancing with different partners in a different method, so to say. So there are some discussions which would be more likely than others. But at the end of the day, it's the total program you would do on the same level.
Unidentified Analyst: Great, thank you very much. That's it for me.
Sonja Warntges: Thank you.
Operator: The next question is from Antonio Casari, Northlight. Please go ahead.
Antonio Casari: Hi, good morning. Thank you very much for taking the question. Trying to get the number or a bit more clarity on the disposal. You mentioned that the change in asset that's held for sale is due of one property, which purchase agreement was authorized in March and expected to close in the second quarter. If I look at the increase in non-current asset held for sale is EUR 36.6 million. Is that a good proxy?
Sonja Warntges: Yes, that's right.
Antonio Casari: Okay, perfect. Thank you very much.
Sonja Warntges: Thank you.
Operator: The last question is from Nic Linnane, Sefton Place. Please go ahead.
Nick Linnane: Hi, thanks for taking my questions. The first one is, where do you have or what prospects do you have for recovering any money from the related party loans of EUR 110 million? And what sort of time frame would you put on that? And secondly, what's the prospect and timing for recovering cash from the roughly EUR 55 million, EUR 60 million investment in DIC Opportunistic fund? Like what's the time frame for realizing money from that fund?
Sonja Warntges: Yes, good morning. Thank you for the question. So I think it will be -- it's depending on developments and finishing of projects, so to say, most of it. And at the end of the day, we expect this in 2026.
Nick Linnane: For all of the like individual things, they're all expected to be in 2026?
Sonja Warntges: Yes.
Nick Linnane: First half, second half, any more color on that? And like what exactly needs to happen?
Sonja Warntges: Yes. Second half or end of 2026.
Nick Linnane: Okay. And just -- sorry, a follow-up on one of the previous questions, assuming that you sell some assets from VIB, what do you see as the means by which you can bring that cash from VIB level to the Branicks parent company level? Do you think that can be done by an increase in the intercompany loan or that would require VIB to purchase more assets from Branicks?
Sonja Warntges: No. Cash from VIB to Branicks is only coming via when VIB decides to buy assets from Branicks.
Nick Linnane: Okay, thank you.
Sonja Warntges: Thank you.
Operator: Gentlemen, that was the last question. I turn the conference back to the management for any closing remarks.
Jasmin Dentz: Thank you very much. This concludes our call and our Q&A session. Thank you so much for joining us today. Our next IR highlight will be the publication of our sustainability report on May 14. And please stay healthy, and let's talk again soon. Thank you.